Operator: Greetings, and welcome to RBC Bearings Fiscal 2024 Fourth Quarter Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Josh Carroll with Investor Relations. Please go ahead.
Josh Carroll: Good morning, and thank you for joining us for RBC Bearings fiscal 2024 fourth quarter earnings conference call. With me on the call today are Dr. Michael Hartnett, Chairman, President and Chief Executive Officer; Daniel Bergeron, Director, Vice President and Chief Operating Officer; Rob Sullivan, Vice President and Chief Financial Officer; and Rob Moffatt, Director of Investor Relations. Before beginning today's call, let me remind you that some of the statements made today will be forward-looking and are made under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those projected or implied due to a variety of factors. We refer you to RBC Bearings recent filings with the SEC for a more detailed discussion of the risks that could impact the company's future operating results and financial condition. These factors are also described in greater detail in the press release and on the company's website. In addition, reconciliation between GAAP and non-GAAP financial information is included as part of the release and is available on the company's website. With that, I will now to turn the call over to Dr. Hartnett.
Michael Hartnett: Okay. Thank you, and good morning, everyone, and thanks for joining us. I'm going to start today's call with a quick review of our quarter and fiscal year and hand it over to Rob for some detailed color on the numbers. And then, I will finish with a high level thoughts on the industry and our fiscal 2025 outlook. In the fourth quarter, we delivered a strong finish to what was historic year for RBC. Net sales came in at a higher end of our quarterly guidance range at $413.7 million delivering roughly 5% of year-over-year growth, capping out a strong fiscal 2024 with revenues of $1.56 billion delivering growth of about 6.2% year-over-year. 2024 was another year where 70% of our revenues were sold, single or primary sourced, that's a key component of our business profile and over half of our revenues continue to be from the maintenance and repair related side of the market. These offer attractive margins and non-cyclical growth, and obviously a continually growing installed base. In the Aerospace and Defense segment, we reached an important milestone with fiscal 2024 sales surpassing their 2,000 -- their pre-COVID peak coming in at $519 million for the year-over-year growth of 20.7%. We expect more growth to come in fiscal '25 and beyond, but more on that later. Within the segment, Commercial Aerospace was up 12.0% year-over-year in the quarter and 20.3% for the full year -- full fiscal year, with defense revenues up 29% in the quarter and 21.6% for the full year. Additionally, growth in A&D was fairly balanced through the year with distribution and aftermarket sales up 23.4% and OEM sales up 20%. On the industrial side, trends remain flattish with fourth quarter sales down 0.4% and full year sales up 0.2%. Broadly speaking, aftermarket sales remained stronger than OEM in both periods and end markets continue to be mixed with some growing and others down. During the quarter, we saw strength in power generation, waste and water management, while weakness was seen in multi industry, aggregate, cement and oil and gas. Delivering strong organic growth relative to our peers is a key part of RBC's playbook, and in fiscal 2025 -- '24 that was no exception. Adjusted gross margins for the quarter came in at $178.3 million or 43.1% of sales, an expansion of 90 basis points over fiscal 4Q '23. And for the full year, we came in at $670.5 million or 43.0% of sales an expansion of 180 basis points versus fiscal 2023 and a new all-time record for RBC. Our success here is driven by multiple factors. With ongoing synergies from Dodge -- from the Dodge acquisition being the biggest contributor, coupled with improving utilization of our aerospace asset base and an ongoing pursuit of growth in higher margin end markets. For comparison, our adjusted gross margin as a percentage of sales for FY -- for the third quarter of '22. In the first quarter, following Dodge acquisition was 37.6% compared to 43.1% exiting fiscal 2024, that's a 550 basis point expansion on the gross margin line. At the time of the acquisition, we said we were targeting $75 million to $100 million of synergies over five years. We estimate that we have achieved somewhere between $70 million and $80 million in just over two years since the closing with more to come. And you can add, we have already repaid $625 million of term loan that was taken to make the acquisition. The Dodge transaction and what we've accomplished with Shubin (6:45) and Sargent acquisitions before that has been absolutely transformative for RBC. Over the past five years, net sales have gone from roughly $700 million to over $1.56 billion growing at a 17.3% CAGR. And even more impressive is EBITDA, which has grown 19.8% CAGR and free cash flow, which is compounded at an amazing 29.2% CAGR over the past five years. I'd like to use this opportunity to express how proud I am of the team for delivering this kind of performance, along with yet another year of strong operating results in fiscal 2024 and for creating much of our own success with company specific rolls and margin focused initiatives. We have a lot to be proud of and what's been accomplished. And as always, will be aiming a little higher in the upcoming year. With that, I'll turn it over to Rob for more details on the financial results.
Robert Sullivan: Thank you, Mike. Dr. Hartnett indicated fiscal 2024 was another year of strong organic growth in Aerospace, continued growth over market industrial business. Total sales growth of 4.9% in the quarter, a 6.2% in the full year was surpassed by adjusted EBITDA growth of 7.4% in the quarter and 11.1% in the year, and by free cash flow growth of 18.4% in the quarter and 35.1% for the full year. This was enabled in part by solid progress on gross margin expansion with fourth quarter gross margin as a percentage of sales coming in at 43.1%, an expansion of roughly 90 basis points year-over-year and the full year coming in at 43%, an increase of roughly 180 basis points. Strength in the gross margin line was derived from the Dodge synergies, increased utilization of our aerospace assets and our ongoing pursuit of higher margin mix. We leverage the healthy operating environment to make additional investments in SG&A aimed at positioning the business for continued growth. This includes investments in our IT infrastructure and our overall headcount, including sales force and back office personnel. That should enable the company to be able to secure and process higher volumes of orders (ph) fiscal '25 and beyond. Even with the SG&A investments, adjusted EBITDA margins expanded with the fiscal fourth quarter coming in at 31.4%, an expansion of roughly 70 basis points year-over-year. In fiscal '24 coming in at an all-time record of 30.9%, an expansion of nearly 140 basis points. This is the first time our full year adjusted EBITDA margin crossed the 30% mark. And based on what we see for fiscal '25 and beyond should serve as a base for additional expansion. In terms of EPS, there seems to be a bit of confusion this morning on tax in the quarter. Although, our effective GAAP tax rate was 16.8% for Q4, the effective tax rate for our adjusted net income and adjusted EPS is 21.2%. This is reflected in the reconciliation within the press release. I call this out because it's important to note that the strength of our performance in Q4 was primarily driven by our operating performance. Free cash flow also outgrew the top line with $69.9 million generated in the quarter, delivering growth of 18.4% year-over-year and $241.5 million for the full year. representing 35.1% of year-over-year growth in free cash flow conversion of 115%. We used that free cash flow to continue to reduce debt from the Dodge acquisition, paying down $225 million on the term loan coming in at the high end of our internal target for the year. This brings total net debt to $1.1 billion and net leverage to 2.3 times on a trailing basis. One item that you will want to take into account for your models in fiscal ‘25 is the planned conversion of our Series A mandatory (ph) convertible preferred stock expected to automatically convert on October 15, 2024. Using Q4 results as an approximation, the net impact of this conversion is expected to be slightly accretive to EPS, assuming conversion at the current share price. It will be meaningfully accretive, however, to free cash flow as the conversion will remove the cash dividend payment, reducing our future total cash outlays by approximately $23 million on an annualized basis. This is roughly 9.5% of fiscal 2024 total cash flow. Importantly, the removal of this cash can further accelerate the pace at which we are reducing the term loan. Altogether, the combination of healthy growth, margin expansion, solid cash generation and continued debt reduction capped off a strong fiscal 2024 and leaves the company well positioned heading into fiscal '25 and beyond. With that, I'll now turn the call back to Mike for some closing thoughts.
Michael Hartnett: Okay. Thank you, Rob. Before we turn the call over to Q&A, I wanted to spend some time on our outlook and how we're thinking about fiscal '25. To start, we are guiding first fiscal quarter net sales to $415 million to $420 million, representing year-over-year growth of 7.2% to 8.5%. This outlook largely reflects an environment that's similar to the past quarter, where demand in A&D is strong and industrial end markets are uneven, with some markets stronger and others softer, and overall industrial demand supported more by aftermarket sales than OEM. In terms of the full year, our outlook for commercial aerospace remains positive. Passenger miles traveled are back above pre-pandemic levels and continue to grow, driving plane utilization levels up and retirements down. New plane demand remains robust and continues to be throttled by supply chain shortages. As I've said before, the only constraint in commercial aerospace right now is not demand, but it's supply. On the OEM side, I'm sure many of you have been following the headlines and build rates at Boeing lately. Over the long term, I'm confident that Boeing will successfully navigate the current challenges it's facing and emerge stronger by the end of 2024. We believe that headwind, however, can be mitigated. In the short term by stronger-than-expected requirements from other markets, including international airframe producers, space, defense and the aftermarket. As for RBC, we fully expect Boeing requirements to rebound by mid-Q3. Remembering our products are needed approximately six months before airplane is assembled and industry lead times are typically 50 to 60 weeks for our products, depending upon material composition. Altogether, this points to an A&D revenue is expected to be up low double-digits in fiscal '25 on top of fiscal '24's record base. It will likely be back ended -- back-end loaded. I think that's probably obvious. On the industrial side, we believe some tough comps we've seen in pockets of the OEM business should start to abate as we progress through the year and aftermarket should continue to grow. What's important here is the growth over market. We believe the combination of our ongoing organic sales initiatives, coupled with the -- our Dodge revenue synergies should continue to grow growth and our target of 2 times GDP is still our target for FY '25. In terms of gross margin, I mentioned earlier, we made tremendous amount of progress in fiscal '24 and are well ahead of schedule on the Dodge synergies. Going forward, we expect higher mix of Dodge synergies to be derived from revenue growth as we continue to work to integrate the sales effort and drive new product development. With that in mind, we expect 50 basis points to 75 basis points of gross margin expansion in fiscal '25, driven by a combination of moderating Dodge tailwinds, ongoing absorption of our aerospace capacity and higher margin new products being introduced to the market. Altogether, this paints a picture of another year of strong free cash flow generation, setting the stage for term loan reduction of another $275 million to $300 million, leaving us on track for our five year goal of fully repaying the debt generated from the Dodge acquisition. Our current net leverage is 2.3 times on a trailing basis, and even lower on a forward basis, and that's before the $275 million to $300 million of further debt reduction plan for fiscal '25. This leaves us well positioned to more seriously evaluate M&A opportunities, and the team has been active in growing that pipeline. We expect at our current rate to be well under 2 times EBITDA by the end of FY '25. Our principal bias here is to manage the company towards a balanced mix of aerospace and defense, and industrial end market exposure over the long term. To conclude, fiscal 2024 was a record year for RBC. We delivered another year of solid growth. It was fully further mitigated by margin expansion are magnified by margin expansion and strong free cash flow conversion. We are ahead of schedule on our Dodge synergies, and we are on track for our deleveraging and return to acquisitive growth. We look forward to fiscal '25 and we expect more of the same. With that, I'll turn it over to the operator for questions.
Operator: Thank you. The floor is now open for questions. [Operator Instructions] Today's first question is coming from Kristine Liwag of Morgan Stanley.
Kristine Liwag: Hey. Thanks for all the detail. Mike, you touched on the Dodge revenue synergies in your prepared commentary. Can you provide more color on how that strategy is going? How's the integration of your two sales team have been progressing, I think, from what you recall Dodge has something like 10x the salespeople as legacy RBC Bearings. I'm not sure if that's still the case today. But how would this be implemented? And when you start measuring results, what kind of revenue synergy target do you think you can extract from this?
Michael Hartnett: I guess my 2 times GDP growth was just too simple, Kristine?
Kristine Liwag: Well, Mike, 2 times GDP growth for legacy RBC Bearings had historically been your target. So I was thinking that our revenue synergy from the deal would be incremental.
Michael Hartnett: Yeah. Well, I think there's good revenue synergy here for a number of -- there's a lot in the mix right now in terms of revenue synergy options that are being developed. And part of that mix is accessing more of the world market that -- for Dodge. And obviously, RBC will ride on Dodge's coattails. And we're particularly focused on Europe and India and Mexico and Canada, and we see opportunities in all those areas for Dodge in '25 and if there's opportunities for Dodge, as I said, RBC should follow right through on the coattails. So that's -- those are pretty active initiatives that we have underway currently focused on these different foreign countries based upon their markets and what we do in these markets and what we can offer to these markets and how we can better develop jointly between Dodge and RBC, our market access. If we take India as an example, India, we have a great amount of infrastructure in India that allows us to have things manufactured there to move things around the country to import and export, which requires a certain infrastructure that has some sophistication to it. But at the same time, we see our -- many of our aerospace customers moving to India for economic reasons and it allows us better access through the Dodge sales force to the Indian aerospace customer base, and we expect to grow that customer base from somewhere less than $10 million a year today to certainly in the $30 million to $40 million per year in the next few years. It's very meaningful. So -- and that's just one example of maybe in aerospace and industrial synergy ongoing based upon the support created by the Dodge infrastructure.
Kristine Liwag: Great. Thank you for the color, Mike. And if I could tag a second question maybe on cost. When you've talked about like the footprint of Dodge manufacturing, you've talked about in the past how it's still mostly U.S. based, but there's an opportunity to move some to low-cost countries while keeping the higher value things in the U.S. Can you give any progress in terms of where you are in terms of that initiative? And when everything is completed as you've planned in the next 12 months or 24 months, how much more margin do you think you can get from a lower cost structure?
Michael Hartnett: Yeah. Well, we just completed building a plant in Takata, Mexico for Dodge basically. It's about 100,000 square feet. And it allows us to move some of Dodge's U.S. manufacturing into Mexico and free up some of the floor space in some of the Dodge plants for product expansion because they are constrained in the Dodge plants based upon floor space and based upon their supply chain. So we're -- our plan is to -- and actually, it's more than a plan now. We've capitalized it and we have things moving around. And if you're on Interstate 10 this weekend, you can watch our trucks go by. But we expect that's going to allow us to expand some of Dodge's product offering in terms of volume that was -- that they were unable to achieve in the past. So that's going to not only fund growth, but also move existing product into a low cost country. And so that's sort of the first step of the effort. And obviously, you don't build a 100,000 square foot plant overnight. So this has been in the planning for the last 18 months and we're -- we'll be in production in Takata with the first round of products by July.
Kristine Liwag: Great. Well, I'll keep an eye out for RBC trucks [indiscernible] Interstate 10. Thank you very much.
Operator: Thank you. The next question is coming from Pete Skibitski of Alembic Global. Please go ahead.
Peter Skibitski: Hey. Good morning, guys. Hope you are doing well.
Michael Hartnett: Good morning, Pete.
Peter Skibitski: Let me start -- I thought, one of the things that stood out was the backlog growth sequentially and year-over-year is really nice to see that. What was that, what we should think mostly commercial aerospace, longer-term commercial aerospace orders coming in?
Michael Hartnett: Well, Aerospace and Marine, I mean that's probably heavily in Aerospace and Marine. If there's some of that is industrial, it's probably 80-20 kind of a thing. Obviously, very little of Dodge's backlog is represented there. It's just -- it's not their business model. They -- what's ordered by customers for Dodge is usually shipped within the same day or within two or three days depending upon the product. So it never gets a chance to hit backlog. So that's 50% of our sales.
Peter Skibitski: Yeah. Okay. That's helpful. And then just your guidance for the first quarter, that would be a reacceleration of sales, right? You're kind of in that 4% to 6% range the last three quarters. Now you're talking close to 8%. I imagine the backlog doesn't hurt with regard to visibility there. But can you talk to us about what you're seeing in this first quarter versus the prior three quarters to kind of lead you to believe that sales are going to reaccelerate?
Michael Hartnett: Well, we're seeing great bookings. There's particularly in A&D. I mean, it's very good. The -- I don't think the Boeing 737 build-out, the step down in their production rate is reflected in that quarter. I think it's going to be reflected in the second quarter, but it isn't reflected in the first quarter at all.
Peter Skibitski: Okay. Yeah. That's helpful. That was a little confusing. Because yeah, so I was going to ask you in terms of the changes to Boeing's master schedule and how it's impacting you. And I know they tried to keep a lot of suppliers at a roughly 30 a month rate, I think, on the max. But it sounds like maybe you guys are going to go below that for a quarter or two, and then rise back up? Is that the way to think about it?
Michael Hartnett: Well, the way I think about it is, if you look at Boeing's production rate now and where they have to be, and of course, the 38 ships per month is sort of the magic number, right? And they're talking about 20, 25 ships a month right now, maybe 30. So by next April, we're certainly expecting them to be healthy enough to be assembling 38 ships a month. And given that, that means for our product, we have to produce it. We have to ship it in October. And if we have to ship it in October, we have to start making it in July. So we're not going to -- we're going to be making it probably not shipping it at a great rate, probably a reduced rate based upon -- relative to the first quarter, but I suspect the year will step up after our second quarter, which is September ending, right? I suspect every quarter now will step up to match their assembly rate in beginning in April. Maybe they pull that in. But I think they know it has to be done. Everything is in their wheelhouse. There's no new rockets have to be invented. It's all basic execution and their smart qualified, capable people, they'll get this done.
Peter Skibitski: Yeah. I appreciate it. Last one for me. Defense growth was pretty incredible this year. Is that mostly marine, the submarines or anything else driving that? And then, I just got the feel that maybe you're expecting another potentially -- I can't remember you said double-digit growth in defense as well is commercial, but it sounds like the strength is going to continue.
Michael Hartnett: Yeah. Defense is going to continue. Right now, for certain, we're constrained by being able to produce enough defense products overall. And so we're working hard to bring up our rates. And so that's dependent upon labor, material availability, supply chain and other qualifications. So we're doing a great job of bringing up certain rates in the sort of the mid-teens kind of a rate year-to-year, sometimes a little bit more than that. And in some areas, we have to continue that for the next three or four years to get to the -- to get balanced with demand. So some of our defense, and that's particularly in the marine area. It's very strong. Other areas like, obviously, with what's going on in Ukraine. And now everybody wants all -- the foreign countries want to join Strike Fighter. So that's an important platform for us. So we're going to -- we're seeing more demand coming from Lockheed on those kinds of programs. The long-range bomber is active and demanding, and that's -- we're in the middle of that program. So yeah, marine and airframe are really, really good for us. Guided munitions is another area that's extremely strong, whether it's ground to ground like that HIMAR (ph) system or its shoulder mounted or it's a ballistic interceptor, we're on all those programs. And right now, there's a lot of replacement demand for Ukraine, and there's also demand to fortify U.S. arsenals. So I don't see that ending anytime soon. Maybe the Ukraine thing gets solved in the intermediate term. In the longer term, these U.S. arsenals were not deep enough. Everybody recognizes that, including the Chinese. That's why they're building out their arsenals. They're not going to do anything with Taiwan until their arsenals are built up the way they feel comfortable. So this is going to -- this is a long-term cycle event.
Peter Skibitski: Yeah. No, that’s great color. Appreciate it, Mike. Thanks, guys.
Michael Hartnett: Yeah.
Operator: Thank you. The next question is coming from Steve Barger of KeyBanc Capital Markets. Please go ahead.
Steve Barger: Hey, good morning. Thanks.
Michael Hartnett: Yes. Go ahead, Steve.
Steve Barger: Hello. As Mike, as you talked about accessing more world markets for Dodge, is that all organic channel development or would you think about geographic acquisitions to accelerate that process?
Michael Hartnett: Yeah. We would think of both. I mean the -- but it's organic. I think it's primarily organic. If there was an acquisition that would accelerate the process, it -- we'd consider it, but it's -- right now, it's pretty much using the assets that we already have more effectively and sort of building out the teams. It's a -- what has to be done there is very achievable, very achievable. And so it's a matter of paying attention to what's going on in Europe, spending more time with the foreign nationals at these various sites. And making sure that they're well integrated with the RBC and Dodge missions. And so before we acquired Dodge, Dodge really didn't have access to these markets. They had access through ABB their previous owner. And ABB sort of didn't pay a great amount of attention to the mechanical side of their world. And so these languished and atrophied. And now we're pleasantly surprised that we have these footprints in active and productive areas of the world that we can spool up. And so we're in the process of spooling them up.
Steve Barger: And when you talk about -- I think you said Europe, India, Mexico, Canada, as you start to make a more directed push in that direction, are you competing against other global bearings manufacturers or is it more against locals? And I'm just trying to get a sense for what the market share opportunity is as you do focus in that direction.
Michael Hartnett: Yeah. Well, it's the global bearing manufacturers if it's bearings. It's sort of the global gearbox manufacturers of its gearbox. And it's -- in a lot of cases, for aerospace and defense, it's particularly aerospace. It's a matter of following your customer to these remote sites and being able to service the requirements effectively. And so if you have the footprint to follow him and to service him, you're well ahead of anybody else.
Steve Barger: Yeah. Got it. And then given all the funding visibility out there from the government for big projects, it's interesting that aggregates and cement are weak. Is this a destock or what are your customers telling you and how do you think that unfolds for the back half of the calendar year?
Michael Hartnett: Well, I think you know as much about that as I do, Steve. The aggregate and cement business is pretty much correlated almost perfectly with housing starts. So when housing starts are up, that business is very strong and when housing starts are not up, that business is not so strong. So in housing starts, it's all about mortgage rates, right? So, yeah, I mean, it's -- when you read the research on Vulcan or Martin Marietta or the people that are in this world and the investment analysts correlate housing starts with demand for their business volumes, it's amazingly correlated. I mean it's like in our square of 95 or something. It's one-on-one. So yeah, so we look at housing starts. I don't think the infrastructure bill has really impacted anything at this point. I mean there's people that talk about it here and there, but it has not had any macro influence to the state that I can put my finger on.
Steve Barger: Got it. No. That makes a lot of sense. Thanks.
Operator: Thank you. The next question is coming from Michael Ciarmoli of Truist Securities. Please go ahead.
Michael Ciarmoli: Hi. Good morning, guys. Thanks for taking my question.
Michael Hartnett: Good morning.
Michael Ciarmoli: Question, not to nit-pic. I know you just talked about the aggregates, but I think the prior view for fourth quarter was for industrial to maybe grow year-over-year, a few points. It obviously came up a little bit light. Was it -- did the aggregates and cement, I know in the earlier prepared commentary you gave some of that end market with power gen waste. Did anything turn unexpectedly weak? Was it just that aggregate? I think you flagged oil and gas as being a bit weaker.
Michael Hartnett: Well, I think, first of all, what we did -- one of the things we didn't talk about was last year, we had -- Dodge did have backlog and that backlog was supply chain driven. And so last year's fourth quarter, that backlog sort of supercharged the sales number as it was liberated.
Robert Sullivan: That was about a $10 million impact.
Michael Hartnett: Okay. So by about $10 million, [Multiple Speakers] that was the difference. So this year, supply chain is normalized. They don't have these kinds of backlogs anymore. And so it's not -- it's a hard comp. It's a hard comp.
Michael Ciarmoli: Yeah. Okay. That makes sense. And then just back on to '25. I want to make sure I heard it. Did you say low double-digit growth for Aero Defense combined? And is there an expected parse out between commercial air and defense in that view?
Michael Hartnett: There's no parse out, but yes, it's combined. And we're just trying to figure out this Boeing thing and we had all of our plans around a different build rate for the ships. And so now we're reevaluating those plans and determining what we should bring in terms of additional business to offset any of the losses and so that's sort of ongoing, yes.
Michael Ciarmoli: Got it.
Michael Hartnett: It's not going to be a normal year in terms of assuming Boeing gets their problem solve and gets to their -- where they need to be like in the upper 50s in terms of 737 rates per year. I mean they got a 10-year backlog on this stuff. So they got to giddy up. So they got to get this problem behind them. So assuming they get into that kind of a mode again. And I don't think they have a choice. They have to get into that. They have to get this behind them. We'll be back up into the high-teens again.
Michael Ciarmoli: Yeah. Okay. And then just maybe on that as well. I mean you talked about 50 basis points to 75 basis points of gross margin expansion with that ongoing absorption in Aero. Is that kind of taken into your commentary there? Should we expect the margin expansion being a little bit more back end loaded in '25 you kind of get clarity from Boeing.
Michael Hartnett: Yes.
Michael Ciarmoli: Okay. And then that -- that would imply maybe a really strong fourth quarter, especially as the $5.8 million of preferred drop off. So just from a modeling, I mean, is that kind of how we should think about the year.
Michael Hartnett: You're on the right track there.
Michael Ciarmoli: Okay. Very good. Last one I had, any -- it sounds like leverage is going to come down. Any big appetite for more M&A out there? I mean Dodge has seemingly been a home run and is still driving value creation, so what's the appetite for another deal?
Michael Hartnett: Well, the appetite is good. But the appetite is picky.
Michael Ciarmoli: Got it. All right, guys. I’ll leave it that. Thanks.
Michael Hartnett: Yeah.
Operator: Thank you. The next question is coming from Joe Ritchie of Goldman Sachs. Please go ahead.
Vivek Srivastava: Hi. This is Vivek Srivastava on for Joe. My first question is just on revenue seasonality looks like at this time, your first quarter where you would be better than where fourth quarter ended. As you think about gross profit and EBIT dollars. Should that be sequentially better also on higher sales or is there something else we should keep in mind?
Robert Sullivan: I think as Mike just kind of spoke to regarding margin, we think that the overall margin expansion we discussed is really back loaded. It's lumpy throughout the year. We'll continue to invest in a bit of SG&A in fiscal '25. So we're expecting continued strong performance.
Vivek Srivastava: Understood. And just a high level question. Your EBITDA margin this quarter at 31.4%, very impressive. Just as we think about the long term, what kind of margin target long term, you have in mind, and then outside of aero volume recovery and some broad synergies. Is there anything like improvement in terms of the base business that would further impact margin expansion?
Michael Hartnett: Yeah. I mean it's -- there's no end. Yeah. I think there's still -- how can I say that? It's really one by one kind of a project in terms of manufacturing technology and identifying on the Pareto, where are your lower-margin performers. And what, if anything, does the world provide in terms of technology to reduce labor or improve material costs or reduce scrap that would accrue to better margin performance. And so we have active programs with all of our plants that we review every month. And we look at the Pareto and we look at what generates the revenue and what could be done to improve the operating performance of that particular line item and what the options -- manufacturing options might be for improvement that would benefit the overall margin of the line. So it's a matter of putting the time investment with all of the divisions one by one to create a program of improvement that accrues to a higher consolidated margin. And that's what RBC is really good at, and that's what we've done since I started the job 30 years ago. And we haven't stopped yet. So yeah, I mean, come on over to one of our plants, and we'll show you how it's -- how we do that.
Vivek Srivastava: That sounds great, yeah. Just last question on free cash flow. How should we think about free cash flow in 2025 and from a working capital standpoint, maybe just talk about what improvements are you baking in for the coming year.
Robert Sullivan: Yeah. So as Mike just referenced, ultimately, we're looking to delever by another $275 million to $300 million, so we're going to have to generate some healthy free cash flow to do that. We're always targeting over 100% conversion on net income, 115% this year. So we'll continue to drive that. Within the working capital section, as we look to the long term, which is important to do, we always are strategically looking at our inventory levels, making sure that we're prepared to strike and deliver to our customers as needed. So there's potential for a little bit of investment in that side, especially in aerospace. We'll continue to manage the remainder of the working capital along the way.
Vivek Srivastava: Great. Thank you.
Operator: Thank you. The next question is coming from Jordan Lyonnais of Bank of America. Please go ahead.
Jordan Lyonnais: Hey, good morning. Thanks for taking the question.
Michael Hartnett: Welcome.
Jordan Lyonnais: Last quarter, you guys said on the 787, you were going to step up to seven a month in April, and it would be an important shift. Are you still producing at or still planning to produce at seven a month, like we saw spirits cutting headcount in Boeing also just cut. So could you give any more color for the wide-bodies?
Michael Hartnett: Yeah. No, we're staying at five a month.
Jordan Lyonnais: Okay. And then also too, so for the ARO Guide, how much, if there's still all of the production uncertainty. How much do you guys are looking at the guide of how much you can make up in terms of pricing or just defense accelerating to make up for the commercial side?
Michael Hartnett: Well, I mean, in terms of mitigating how are we going to mitigate the shortfall there for Boeing for a while?
Jordan Lyonnais: Yeah, just a derisking.
Michael Hartnett: Yeah. I think we have a quarter or two of the Boeing effect. I think given a quarter or two, I mean, the maximum impact on revenues if we didn't do any mitigation, it would be $20 million over two quarters. $10 million would be sort of the minimum, if we did no mitigation over two quarters. So it's a -- it's sort of an achievable number. And when I look at some of the markets that we've been servicing, I mean, particularly, we talked about how strong defense is, and how much we can realign our schedules to bring some of that defense production into earlier quarters, which is what's happening right now for some of the mitigation. But on the other hand, a few years ago, we started working in space. And in '24, we shipped $20 million into the space world. And so, our business on space products is accelerating. We see that getting to $40 million, and we see that probably getting to $30 million this year. So space is starting to become a significant component of our A&D sales. So that’s part of the mitigation. Defense is part of the mitigation and increasing our spares sales is another part of the mitigation. So we have – what we have maybe half a dozen significant divisions that are working on various mitigation techniques, products to offset any shortfall of the – for the – in the second quarter that we might see from the Boeing production reduction. And I suspect they’ll get a long way towards the goal.
Jordan Lyonnais: Great. That’s really helpful. Thank you.
Operator: Thank you. Ladies and gentlemen, there are no further questions at this time. I would like to turn the call over to Dr. Hartnett for closing comments.
Michael Hartnett: Okay. Well, thank you. Well, that completes our call for today, and I appreciate everybody participating and listening to our presentation. Obviously, we've delivered another year of solid growth and great cash flow conversion. And we look forward to talking to you again in July.
Operator: Ladies and gentlemen, thank you for your participation. This concludes today's event. You may disconnect your lines or log off the webcast at this time and enjoy the rest of your day.